Operator: Good day and welcome to the Manchester United Second Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would like now like to turn the conference over to Samanta Stewart, Head of Investor Relations, please go ahead.
Samanta Stewart: Hi. Before we begin, we would like to inform everyone that this call will include estimates and forward-looking statements subject to various risks and uncertainties that could cause actual results to differ materially. This should be considered together with the cautionary notes in our earnings release regarding forward-looking statements and the risk factors in our filings with SEC. Manchester United Plc assumes no obligation to update these estimates or forward-looking statements. I will now turn the conference over to Ed Woodward, Executive Vice Chairman. Ed?
Ed Woodward : Thank you, Sam and thank you operator and obviously to everyone for joining up today. With me on the call, are Hemen Tseayo, Head of Corporate Finance; and Samanta Stewart, Head of Investor Relations. Hemen will take you through the detailed financial results shortly, but I will start with some comments on recent news and then discuss the quarter and developments on and off the pitch. We have been discussing for the last several quarters the value of live sports programming and how sports content rights continue to appreciate due to the way they are distributed and consumed. Two [growth] news are the completion of the auction for the domestic Premier League rights for the next three year cycle starting the 16, 17 seasons certainly validates this. A record number of companies have requested tender documents and serious interest to merge from several companies summoned for the first time. As you have heard Sky and BT have won the auction agreeing to pay a total value of £5.136 billion representing an increase of just over 70% over the previous three year cycle. To put this and the last deals growth in context this is approximately three times the value of the cycle that completed just over 18 months ago. Sky was awarded five packages including Friday evenings, Monday evenings, Saturday lunchtime, Sunday afternoons. BT will get Saturday evenings, and mid weekends. The rights allow the two bidders to show total of 168 games per season that’s 14 more games available under the current deal. At the end of January the Premier League also completed the sales process for the UK highlights package rates and the BBC has retained those rights for £204 million representing an increase of about 14%. Considering the two auctions the combined rights were up about 64%, it's worth highlighting that out of this pot there will as in previous seasons be funds allocated by the Premier League for good causes, [grass roots] initiatives and redistribution to our football partners. This amount won't be determined until probably early 2016. But do noted in the present deal about 15% of TV revenues are distributed beyond the Premier League itself. It's also worth reminding everybody that the Premier League is continuing to deal with ongoing Ofcom investigation and we believe there should be some more clarity on how it develops in the next couple of months. In the U.S the numbers published by NBC continued to impress. On the November call we mentioned that the game between Manchester United and Chelsea in October set a record for the most viewed live Premier League match in U.S history that record is already been beaten by our away win at Arsenal in November. At a season midpoint NBC's average Premier League viewership is up 15% from last season. NBC fans have streaming more than a 168 million minutes of action, up 36% versus last year. And finally four of the top five live match audiences on U.S Television have featured Manchester United. We completed the January transfer window last week. As we have previously indicated most of the transfer business usually occurs in the summer window. During the window we signed experienced goalkeeper to Victor Valdes on a [fee] and we sold or released three players from our first team squad. We are currently third on the table and we have also advanced to the fifth round of the FA Cup and will play Preston on the 16th February. Off the pitch our commercial business continues to grow. Sponsorship was up 23.4% in the second quarter and we announced two deals. IVC, the club's first official Chinese wellness partner and Chi the club's official soft drinks partner in Nigeria. Since the end of the quarter we have also announced two new global partners KamaGames is our first official global social games partner their portfolio of games currently reaches an audience of over 70 million users worldwide. They will be launching a portfolio of casino games -- sorry social casino games carrying Manchester United branding, logo, imagery and themes. We have also signed our first official global Forex and online financial trading partner with Swissquote; one of the ten largest Forex brokers in the world. Finally, we have also announced a deal with Emtel as our first partner in Mauritius. There will be our triple play media partner which means they can stream Manchester United content across TV, mobile and Internet. Our Matchday business is robust and we have broken several records this year. We have seen the highest ever Matchday VIP hospitality [sales] of Premier League matches played today. As I mentioned in our last call in November we're working hard on our retail strategy for development of a full plan for the rights that will revert to us in August 2015, including retail, e-commerce, mono-branded products and soccer schools. At the same time, we’re making progress on our additional media strategy and look forward to sharing our plans with you soon. With that, I’ll turn over to Hemen for more detailed look into this quarter’s financial and guidelines.
Hemen Tseayo: Thank you, Ed, and hello everyone. I am going to review our results for the second quarter ended December 31, 2014, and as usual, unless I mention otherwise, all figures are in UK pound sterling. As expected, year-over-year comparisons are and will continue for the rest of this year to be impacted to significant extent by our absences from European competition this season and this impact is acutely felt in Q2 particularly in broadcasting revenue as five of the six Champions’ League group stage games were played in the comparative quarter last year. In terms of the headlines figures our second quarter 2015 revenue was down 14% to £105.7 million and adjusted EBITDA was down 16.9% to £42.4 million, now EBITDA is maturely higher than consensuses due primarily to higher revenues, lower wages and lower other operating expenses in the quarter than expected by the street. Consistent with previous announcements, we have included both adjusted net income and adjusted diluted earnings per share as we believe that in assessing the true comparative financial performance of the business it is usual to strip out the distorting effects of debits and credits unrelated to the underlying business and then to apply a normalized tax rate of 35% for both the current and prior periods. And we provide a reconciliation of this in the earnings release. Adjusted net income was £4.4 million compared with £19.8 million in the second quarter of the prior year due primarily to lower broadcasting revenues and higher amortization which were partially offset by lower wages and lower other operating costs. Turning to the key items of note in the financial statements, Matchday revenues decreased £2.8 million primarily due to non-participation in European competition this season and our early exit from the Capital One Cup, which is partially offset by an increase in Premier League ticket and hospitality revenue, as a result of one additional Premier League home game in the current quarter versus the prior year broadcasting revenues then decreased £18.5 million as I mentioned earlier primarily due to non-participating in the European competition which was partially offset by playing that one extra Premier League home game and having two more live games broadcast in the current quarter than in the prior year. Commercial revenues increased £4.1 million primarily as result of sponsorship revenue increasing £6.8 million or as I have mentioned 23.4% due to an increase in the shirts sponsorship with Chevrolet coupled with higher revenues from various other sponsorship agreements including Nissin Foods and Abengoa. Merchandising apparel and product licensing revenues declined £1.2 million due to the reduced Nike guaranteed revenue as a result of non-participation in European competitions in the current season and the extended final period of the partnership which ends of the 31st of July 2015 resulting in a profit -- in the profit share element being recognized over a 13-month period with 12 of the 13 months recognized this fiscal year and the final month being recognized in the first quarter of fiscal 2016. Mobile and content revenue decreased £1.5 million due as previously explained to the expiration of a few of our partnership in territories that we’ve decided to keep clean leading up to rollout of broader digital media offering. During the quarter, total operating expenses excluding depreciation and amortization and exceptional items were down 12% with wages down 5.6% primarily due to no step-ups in payments associated with the participation of in the Champions League. With Other operating expenses down 28.1% due primarily to reduction in Matchday variable costs and the favorable FX swing from the same period last year. So based on our year-to-date results and current visibility, we leave guidance unchanged for fiscal 2015 of revenue between £385 million to £395 million and adjusted EBITDA of 90 million to £95 million. And with that, I’ll hand the call back to the operator and we’re ready to take your questions. Thank you.
Operator: Thank you. We will not begin the question-and-answer session. [Operator Instructions] The first question comes from Matthew Walker with Nomura. Please go ahead.
Matthew Walker: The first question is just on guidance for the EBITDA guidance, so you would have appeared to have done about two-thirds of EBITDA so far in the first half and are you just being deliberating conservative or is it something else we should think about for the next couple of quarters and on sponsorship, can we expect a similar level of growth around 23% or more for Q3 and Q4. And finally, obviously there is been a lot of interest in the new Premier League deal in the UK and one of the things that people are looking at it is potential for funding of tickets. And do you think it might have any impact on Matchday revenues or what's your attitude, is it something that has to be determined by each club individually just interested in your comments on that?
Ed Woodward : Okay. Thank you, Matt. So first of all I will ask Hemen to respond to the first question.
Hemen Tseayo: Matthew hi. On guidance yes typically with Q1 and Q2 it's over half and in terms of EBITDA than we had expected to have for the year by this day, so it's not a 50-50 split between H1 and H2. And I appreciate there is obviously a significant delta above where we are to where the street is on the expectation of EBITDA -- there remain a number of moving parts and so that's why we're not increasing guidance at this stage. One of which is the broadcasting rights, there are a number of renegotiations that's still need to be done on these player contracts which will have an impact on this year. And also with respect to sponsorship servicing costs those don't always happen on a smooth basis or frankly even on an expected basis. Some of the rights that they have attendance at games and the players that we're providing or ambassador's that we're providing to run events, there is a choice as to when that happens and there is a number of things that are being pushed to the back half of the year that were expected to happen earlier. So at this stage we remain comfortable with the guidance, but clearly we will revisit that again on the call in May. And your second question I believe was on sponsorship. The sponsorship revenue will be higher and again I can't tell you whether it will be exactly the same percentage observed from Q3 and coming as to Q3 the following year. But our trend as you know tends to be that with the deals signed they run for the end of the year, so our expectation will be that sponsorship will be higher Q3 coming very the Q3 in the prior year but I can't give you a sense of what that percentage is at this time. And I will hand over to Ed to answer your third question on impact on ticket prices.
Ed Woodward: Yes I mean to answer your question directly, yes it's determined by each club, that’s always been the case and my expectation is that will continue to be the case. We think about ticket pricing carefully over the year on a standalone basis. We will look at 16, 17 pricing as the appropriate time. We are a club that maybe in a unique position on this I am not entirely sure, but we've kept season ticket prices flat for five of the last six year and we believe that prices are fairly priced compared to the market.
Matthew Walker: One quick follow-up. I guess there is another thing that's in the UK press a lot which is the impact on wages and clearly there is a -- there is going to be formula from the Premier League about how much increase in wages clubs can do based on the [brokers] contracts. And do you have any sort of feeling for what that might entail in terms of wage uplift?
Ed Woodward: First of all that isn't in place at this point. Yes there are short-term cost controls in place they relate to this cycle but I think it's fair to say that whilst there may well be some impact on wages and given the amount of money flowing into the Premier League. I think the general mood in the Premier League is what you have just said. So the short-term cost controls came about because clubs are determined to try to not being continually loss making. So I think that's the motivation, that’s the backdrop I don't know what's going to happen we will have to see in the coming Premier League meetings how that develops.
Operator: The next question comes from Alexander Mees with JP Morgan.
Alexander Mees : Just interested particularly given what's happened with the broadcasting rights domestically in getting a sense for when we can expect to have visibility on the overseas broadcasting rights for the EPL and whether it’s the reason for what we're seeing given we had such a significant increase in the size of the domestic deal whether it's reasonable to assume a similar rise might be forthcoming in the overseas as well?
Ed Woodward: So, the timing obviously we did in series, not in parallel -- those rights will not be brought to market until few months’ time. I think the Premier League is going to be signing off on its strategy in March or April. And look with regard to the future, what it might be I can't guide my views around that. I think we have seen a big uplift in domestic and I am not sure you should be using that as a guide to something that covers 200 countries around the world. I think there some specific reason in terms of the UK market as to why that has happened.
Alexander Mees : Okay. Thank you. And if may just follow up with on player CapEx. I wondered if you have a number maybe soon to release, haven’t seen yet, but for CapEx in the January window?
Hemen Tseayo: Yes, it’s Hemen, Alex, and we noted the net players spend --
Ed Woodward: So just be clear, did you mean what we’ve spend in the January transfer window?
Alexander Mees : Where will that cost go after the window, I think you’ve only had a free haven’t yet? So there is no change for CapEx guidance?
Hemen Tseayo: For the full year we’re still expecting the 90 because as you know the activity in January was an acquire for free and then we had disposals or releases where they weren’t materially significant in the January window with Fletcher, Anderson, and Zaha. In terms of just for the quarter to date, what is in the release is with respect to the cash, so the net player CapEx, we’ve got net player CapEx of 14 million. But most of that is not in relation to the January window, but it’s deferrals in terms of payments for the likes of Rojo, Di Maria, and Falcao.
Operator: With no further questions, this concludes our question-and-answer session. I would now like to thank everybody for attending today’s presentation. You may now disconnect.